Operator: Good day, ladies and gentlemen, and welcome to the Fourth Quarter 2011 SPX Corp. Earnings Conference Call. My name is Deanna, and I'll be the operator for today. [Operator Instructions] As a reminder, today's conference is being recorded for replay purposes. I would now like to turn the call over to your host, Mr. Ryan Taylor, Director of Investor Relations. Please go ahead.
Ryan Taylor: Thanks, Deanna, and good morning, everyone. We appreciate you joining us on the call today. With me today is Chris Kearney, our Chairman, President and CEO of SPX; and Patrick O'Leary, our Chief Financial Officer. Our earnings press release was issued this morning and can be found on our website, spx.com. This morning's call is also being webcast with a slide presentation, which can be accessed in the Investor Relations section of our website. The webcast will be available until March 1, and we encourage you to follow along with the webcast as we reference the detailed information on the slides. In the appendix of today's presentation, we have also provided reconciliations for all non-GAAP financial measures. Portions of the presentation and comments are forward-looking and subject to Safe Harbor provisions, and we'd also like you to note the risk factors in our most recent SEC filings. The earnings-per-share numbers that we discuss this morning are on an adjusted basis, and in general, the financial data presented relates to continuing operations as of the period they are reported. And with that, I'll turn the call over to Chris.
Christopher J. Kearney: Thanks, Ryan. Good morning, everyone. Thanks for joining us on the call. The fourth quarter was a very active period for SPX with a number of key accomplishments. Most notably, we executed several strategic actions that we believe will improve our business going forward. We're very excited about these developments. In addition to our strategic process -- progress, we've also had strong year-on-year operational performance and achieved our highest-quality revenue and segment income results since Q4 2008. This performance was led by our Flow Technology segment. I'll begin this morning with a brief overview of our recent strategic accomplishments as well as our Q4 and full year financial results. Patrick will then provide a detailed analysis of these results. Looking first at our strategic highlights. The acquisition of ClydeUnion and our pending sale of Service Solutions are the 2 most significant developments. The ClydeUnion acquisition, which was completed late in the fourth quarter, expands our power and energy offerings and gives us another global platform within our Flow segment. We believe the opportunities to build out Flow's power and energy business are similar to our food and beverage business, which experienced a breakout year in 2011. Flow's food and beverage business grew 27% last year, reflecting the benefit of our acquisition strategy and our localization efforts. We continue to see very strong demand in the food and beverage market, as evidenced by the $140 million of new orders we've recently announced. e&e, our newest acquisition in this space, broadens our dehydration offerings and expands our presence in the global coffee market. During Q4, we also had 2 notable accomplishments that improve our position in late-cycle power markets. We substantially completed the construction of our large Power Transformer plant, and we are beginning production at the new facility. And we formed a joint venture with Shanghai Electric to enhance our competitive position in China and other emerging markets for some of our Thermal products. The joint venture has already received an indication for its first significant order, and we expect it to benefit this year and beyond from China's investment in power infrastructure. We're very encouraged with the progress we've made, and we plan to continue focusing on strategic actions in 2012. Moving on to the financial result for Q4. Revenue increased 13% over last year to nearly $1.5 billion. From an organic perspective, revenue grew 11%, with all 4 segments reporting organic growth. Segment income was $177 million, up 10% over last year, and our segment margin was 11.9%. In the quarter, Flow accounted for nearly 50% of our total segment income. We're very pleased with Flow's operating results, which included 13% organic revenue growth and segment income margins greater than 15%. Looking at earnings per share on an adjusted basis. Q4 EPS increased 58% over last year to $1.78 per share. And excluding the cash flow impact associated with the ClydeUnion acquisition, we generated $219 million of free cash flow in the quarter. For the full year, revenue increased 12% over last year to nearly $5.5 billion. Organic revenue growth was 7%. Segment income was $580 million, up 4% over last year, and our full year segment income margin was 10.6%. Adjusted EPS increased 21% over last year to $4.38 per share. And for the full year, excluding ClydeUnion, we generated $265 million of free cash flow. On an adjusted basis, our free cash flow conversion of net income was approximately 119%. Looking now at the fourth quarter year-over-year revenue development from a geographic perspective. Revenues increased across all major regions, with 20% growth in Asia Pacific. Sales into Europe were up 11%, and sales into the Americas increased 10%. Emerging market revenue was up 8% over the prior year to more than $400 million, representing 28% of our total fourth quarter revenue. Flow Technology generated more than half of our emerging market revenue, with notable year-over-year growth in China and in the Middle East. In 2012, we expect ClydeUnion to broaden our geographic exposure and increase our emerging market opportunities. We reported our 2011 year-end backlog at our Annual Investor Meeting in January, and I'll briefly review the key points again this morning. We ended 2011 with total backlog of about $3 billion. Flow's backlog increased 83% year-over-year. This includes ClydeUnion, which had about $510 million in its backlog at year-end. Organically, Flow's backlog increased 16% year-over-year, driven largely by the development of our food and beverage orders. Demand across all our key Flow-end markets remained strong in Q4. This drove a record orders for Flow in Q4 that featured 3 large food and beverage awards totaling $100 million. Last week, we announced another new order. This one is a $40 million contract to supply a dairy processing system for Shanghai Bright. This order will be reflected in our Q1 backlog. In general, we continue to experience strong demand for our Flow products at the outset of 2012. Thermal's ending 2011 backlog declined 35% year-over-year. About half of this decline was related to execution and currency changes on a large projects in South Africa. Delayed recovery in late-cycle power markets also impacted Thermal's backlog. Thermal's orders were down only 2% year-over-year and were very steady sequentially at about $300 million per quarter. Due to the backlog decline in 2011, we expect our Thermal segment revenue to be down 9% to 14% this year. However, at the outset of 2012, we have seen positive macro signs indicating a potential for improvement in late-cycle power investment. Based on this, we believe the cyclical recovery and the actual results of our Thermal segment could occur as early as 2013. In our Industrial segment, the backlog increased 33% year-over-year to $477 million. We had backlog growth across most of the businesses in this segment. The most notable driver of growth was an increase in our Power Transformer backlog, which was up more than 40% over the prior year. This was driven largely by increased volume and modest improvement in pricing. So that concludes my opening remarks. And at this time, I'll turn the call over to Patrick for a detailed analysis of our financial results.
Patrick J. O'Leary: Thanks, Chris. Good morning, everyone. I'll begin with the ClydeUnion acquisition. We completed the acquisition near the end of the fourth quarter. During the brief period under our ownership in Q4, we recognized $13.6 million of revenue with an operating profit of $300,000 for ClydeUnion net of purchase accounting charges. We also recognized $1.3 million of interest expense on the debt drawn to finance the acquisition, and transaction fees were $2.4 million in the period. We recorded a $4 million charge on the other expense line of our income statement to settle hedges that we put in place for the majority of the purchase price, which was denominated in pounds sterling. These hedges significantly reduced foreign currency risk in this purchase, given our U.S. dollar borrowings. This charge and the related payments to our banks is offset by a reduction in the U.S. dollar equivalent paid to the ClydeUnion sellers. From the inception of these hedges to the settlement date, the U.S. dollar strengthened against the British pound by about 5%. For the full year, we recorded a $35 million charge related for the settlement of these hedges. The net EPS impact for all these items related to ClydeUnion was $0.11 in the fourth quarter and $0.55 for the full year. As a reminder, we are targeting $0.30 of EPS accretion from the acquisition in 2012. Looking at the free cash flow impact associated with the acquisition. We recorded net cash outflows of $93 million. This reflects the $41 million purchase of ClydeUnion's 800,000-square-foot facility in Scotland and $35 million related to the currency hedges I just described. Our adjusted EPS and free cash flow figures exclude the full impact of the ClydeUnion acquisition. Looking at consolidated EPS. Reported fourth quarter earnings per share was $1.25. On an adjusted basis, Q4 EPS was $1.78 per share. In our adjusted calculation, we have excluded an aggregate amount of $0.27 per share related to strategic actions. This includes the $0.11 impact from ClydeUnion. In conjunction with our recent strategic developments, we have also decided to postpone building a centralized manufacturing campus in China. As a result of this decision, we recorded a charge of $6.5 million or $0.13 per share on the special charge line of our income statement. And costs associated with the pending sale of Service Solutions totaled $0.03 in Q4. These were recorded in corporate expense. Our adjusted EPS also excludes a $0.22 charge associated with amounts being uncollectible from an insolvent insurer for certain risk management matters, and we recorded a $0.04 impairment charge related to goodwill of our SPX Heat Transfer subsidiary. The full year impairment charge for this business was $0.33 per share. For the full year, our adjusted earnings per share was $4.38. This excludes the charges I just discussed as well as $0.41 of tax benefits recorded as income in Q3. On an adjusted basis, Q4 earnings per share increased 58% year-over-year. Higher segment income was the primary driver. Led by Flow Technology, consolidated segment income increased by $0.22 per share. Lower special charges were an $0.18 benefit versus the prior year. And our effective tax rate for the quarter on an adjusted basis was 24%, a $0.14 benefit to earnings per share. Net other items were an 11% -- $0.11 benefit, most notably, lower corporate expansion expense. Looking at the consolidated results for the quarter. Revenue increased 13% over the prior year to $1.5 billion. On an organic basis, revenue increased across all 4 segments and, in aggregate, increased 11%. Acquisitions contributed 2% growth, and currency was a 1% headwind year-over-year. Segment income increased 10% to $177 million. This was net of the $14 million charge we discussed in January related to certain South African projects in our Thermal segment. It also included $4 million of start-up costs associated with our Transformer facility. These 2 items were 120 points diluted to segment margins in the quarter and offset strong margin performance in our Test and Measurement and Flow segments. Our segment income margin was 11.9%, down 20 points year-over-year. Moving on to our segment results, beginning with Flow Technology. Flow reported $565 million of revenue for the quarter. That's up 16% over the prior year. Organic revenue grew 13%, and acquisitions contributed 4% growth. Systems revenue continued to grow sharply, up 21% year-over-year, and component sales also increased double-digits, reflecting strong demand across most of our key Flow end markets. From a geographic perspective, sales into Asia Pacific grew 29%, driven by increased sales of food and beverage process equipment as well as plate heat exchangers into industrial markets. Revenue increased 15% in the Americas, driven largely by power and energy markets and highlighted by continued progress on our nuclear squib valve contract with Westinghouse. And sales into EMEA were up 8%, including 6% growth in Europe, driven by strong demand in power and energy markets as well as increased food and beverage systems revenue. Segment income increased 20% over the prior year to $85 million, driven primarily by the organic growth. Segment margin was 15.1%. That's up 50 points year-over-year, even with the 30 points of dilution from ClydeUnion primarily due to the purchase accounting charges. Excluding ClydeUnion, incremental margins for Flow increased 21%. This is a good result, especially considering the strong growth in systems revenue during the quarter. For the full year, Flow's revenue increased 23% to more than $2 billion. Organic revenue growth was 15%, acquisitions contributed 4% growth and currency was a 3% benefit. As Chris mentioned, the food and beverage sales increased 27% year-over-year, driven largely by growth in the systems business. Total systems revenue increased to $466 million, up nearly 60% from 2010, and represented 23% of Flow's total sales. We also saw good sales growth in our industrial and power and energy businesses. From a geographic perspective, sales into emerging markets increased 34% year-on-year, led by growth in China, the Middle East and Eastern Europe. In Europe, sales increased 26%, and in North America, sales increased 16%. Segment income grew to $268 million. That's up $53 million or 25% over the prior year, and segment margin improved to 13.1%. Flow Technology had an outstanding year, both from an operational and strategic perspective. We're very proud of Don Canterna and the whole Flow team for their accomplishments in 2011, and we look forward to continued growth and development in this segment in 2012. Moving on to Thermal. Thermal reported $453 million of revenue in Q4, up 8% from the prior year. Organic revenue increased 10%. This was partially offset by a 2% currency headwind. The organic growth was primarily driven by increased sales of evaporative cooling systems, particularly in the U.S., as well as higher sales of pollution control systems and retrofit services in Europe. Segment income was $44 million, and operating margins declined to 9.7%. The decline in profitability was due primarily to the $14 million charge taken on certain projects in South Africa as well as project mix. For the full year, Thermal's revenue increased to $1.64 billion. Currency was a 2% benefit, and organic revenue increased slightly. Sales of evaporative cooling systems, which serve both the power generation and the HVAC markets, increased by more than 25% in 2011, with the majority of the growth coming in the United States. This offset a decline of global dry cooling sales. Segment income for the year was $142 million, down 27% versus the prior year, and segment margins were 8.6%. The decline in profitability reflects the mix shift in our cooling system revenue as well as the $14 million charge we recorded in Q4. Looking at our Industrial segment. Revenue increased $30 million or 18% to $198 million. This was all organic growth, driven primarily by increased volume of Power Transformer shipments, reflecting the stronger order trends we began experiencing in early 2011. The Transformer business reported more than 30% organic growth in the period. We also had double-digit growth in sales of hydraulic technologies. Segment income was $15 million, flat to last year, and operating margins was 7.6%. During the quarter, we recorded $4.4 million of costs associated with the start-up of the Transformer facility. Excluding these costs, segment income increased 29%, and base margins improved 90 points. For the full year, the Industrial segment had revenue of $708 million, up 1% organically over the prior year. Segment income declined 20% to $59 million, and segment margins were 8.4%. Lower pricing on Transformer shipments, primarily during the first half of the year, had the most notable impact on 2011 segment income. In addition, the full year costs associated with the Transformer plant expansion totaled about $11 million. We believe 2011 represents the bottom of the cycle for this segment and that it is poised for growth. Increased volume and modest price improvement in our 2011 Transformer orders are expected to be a key driver of revenue growth and margin improvement this year for our Industrial segment. Transformer pricing and order trends have continued to improve somewhat in the early part of this year. We have now received orders to supply 19 large power transformers. We have begun production in the expanded facility, and we are on track to begin shipping units in the first half of this year. The expanded facility is 140,000 square feet and increases our manufacturing capacity by about 50%. The pictures on this chart highlight the facility expansion as well as the main assembly aisle, the winding area and the testing equipment. Moving on to Q4 results for our Test and Measurement segment. Revenue for the quarter was $275 million, up 9% year-over-year. Organic revenue increased 5%, and the Diagnostic Solutions acquisition contributed 4% growth. The organic growth was driven primarily by increased OEM sales, highlighted by very strong growth in China and double-digit growth in Europe. Segment income for the quarter was $33 million, up $11 million over last year. That's a 51% improvement. Incremental margins were 48%, and reported segment income margins improved 330 points to 11.9%. Similar to Q3, several factors contributed to the margin improvement, including leverage on the organic revenue growth and accretion from the Diagnostic Solutions acquisition. Looking at the full year, you can see the significant improvement in our Test and Measurement results over the last 2 years. For 2011, revenue increased 16% to $1.1 billion. Organic growth was 9%, and the acquisition contributed 4% growth. Currency was a 2% benefit. Segment income for the year grew $34 million or 45% to $111 million, and segment margins expanded 210 points to 10.4%. We're very pleased with Test and Measurement's 2011 operational performance, which was driven primarily by the growth and improvement in our Service Solutions business. We recently announced an agreement to sell Service Solutions to Bosch for $1.15 billion. The sale is subject to normal closing conditions and other approvals and is expected to be completed during the first half of this year. We plan to treat Service Solutions as a discontinued operation beginning in Q1, and we'll report the other businesses in this segment as part of our Industrial segment going forward. Turning now to free cash flow and capital allocation. Excluding the impact of the ClydeUnion acquisition, we generated $219 million of free cash flow. This level of performance in Q4 is consistent with our historical seasonality. For the full year, adjusted free cash flow was $265 million. This includes $113 million of capital expenditures excluding ClydeUnion. For the full year, we also invested $28 million on restructuring actions. Our pension contribution in 2011 was $13 million as compared to $135 million in 2010, which included a voluntary contribution of $100 million in the fourth quarter of 2010. Looking at our capital allocation expectations and projected liquidity for this year. We ended last year with $551 million of cash on hand. We're targeting approximately $200 million of free cash flow from continuing operations in 2012, and we expect the after-tax proceeds from the sale of Service Solutions to be approximately $1 billion. We plan to commit $350 million to debt reduction, including the early funding of our 2013 debt maturities, and to delever into our target gross leverage range of 1.5 to 2.5x EBITDA during 2012. We also intend to enter into a 10b5-1 stock repurchase plan later today. This plan will have 2 phases and be designed to facilitate up to $350 million of share repurchases. Phase 1 will allow for repurchases of up to $75 million prior to completing the sale of Service Solutions and could begin trading as early as next week. Phase 2 will be in effect following the completed sale of Service Solutions and will allow for the repurchase of up to the full $350 million. Depending on the price of the stock, we expect to repurchase between 4 million and 5 million shares at recent pricing. This equates to over $0.40 of EPS accretion. After these actions, we expect to have approximately $1.5 billion of liquidity in 2012, and we will evaluate additional strategic actions and share repurchases consistent with our capital allocation methodology. We've had a consistent and disciplined approach to capital allocation, which we expect to continue. Maintaining a strong balance sheet will continue to be a priority for us. As of the end of 2011, gross and net leverage ratios were 3.1x and 2.3x, respectively. Through a combination of debt repayment and increasing EBITDA, we expect 2012 year-end gross leverage to approach the target range. When gross leverage is below 2.5x, we will evaluate available capital for use on strategic acquisitions and share repurchases. With that, I'll turn the call back to Chris for closing remarks.
Christopher J. Kearney: Thanks, Patrick. Looking back at the history of our company, you can see how we've significantly transformed SPX. The acquisition of ClydeUnion and the pending sale of Service Solutions are just the latest strategic developments that further narrow our strategic focus and enhance our ability to continue building our Flow segment. The degree of change in our business mix since 2004 underscores our transformation. Upon completing the sale of Service Solutions, we will have divested 56% of our 2004 revenue base. In contrast, 85% of our acquisition capital over this period has been concentrated on growing our Flow Technology business. This year, we expect Flow's revenue to approach $3 billion and account for more than 50% of our revenue from continuing operations. We believe there are attractive acquisition and organic growth opportunity to continue expanding our Flow Technology offerings. Looking at the near-term growth drivers across all of our businesses. As we integrate ClydeUnion, we expect to realize revenue and cost synergies, as we discussed at our Annual Investor Meeting last month. We also expect to capitalize on the strong trends in the oil and gas market as we build out this platform. We expect investment in emerging markets and aftermarket opportunities to support continued growth for Flow's food and beverage business. We believe the net investment cycle in the U.S. transmission and distribution market is under way, and our Power Transformer business is well positioned to benefit from this. And our Thermal segment is well positioned to benefit from cyclical recovery in the global power generation market. Our long-term annual tax rate is now 28%, and we expect our share count to be further reduced with the intended 2012 share repurchases, both of which will contribute greater EPS leverage on future operational growth. We're optimistic about our growth potential for this year as well as in the medium term. So in summary, we finished the year with a strong Q4 operating performance. For the year, our revenue grew 12%, and adjusted earnings per share increased 21%. We have leading market positions in key end markets that we believe will provide growth opportunities over the next several years. We believe our earnings potential is as strong today as it's ever been, and we plan to continue focusing on strategic actions to add value to our company for the benefit of shareholders. We've made considerable progress over the past year advancing our long-term strategy. We expect 2012 to be a year of transition as we focus on integrating ClydeUnion, executing the start-up of our large Power Transformer facility and completing the sale of Service Solutions. We also plan to reduce our leverage and repurchase about 10% of our equity this year. Following these actions, we'll still have about $1.5 billion of liquidity to evaluate additional acquisition and share repurchases in line with our capital allocation approach. So that concludes our prepared remarks. And at this time, we'll open the call for questions.
Operator: [Operator Instructions] The first question will come from the line of Shannon O'Callaghan, Nomura.
Shannon O'Callaghan - Nomura Securities Co. Ltd., Research Division: Can you give us a little more update on ClydeU and how it's progressing? And then also, as you think about the liquidity flow through the year here and the ClydeU integration, how soon before you think you would actually think about starting to bolt onto ClydeU?
Christopher J. Kearney: Well, first, with respect to ClydeUnion, Shannon, I'd tell you that the integration is progressing well. Don and his team have spent a fair amount of time with the ClydeUnion team over the last several weeks. They've got an integration team in place. They've been working closely with the ClydeUnion workforce since the deal closed in September, and I can tell you that I think the folks in the ClydeUnion business are pretty excited about being part of SPX. And obviously, the more we work with them and the more we get done in terms of integration, the more opportunities we see to leverage the businesses together and to look for good market synergies and good opportunity. The initial feedback that we get from customers has been very positive, and we're already getting inquiries from some of Clyde's customers about our broader Flow offerings. So it's all going along as we hoped and expected it would. That said, we know that there's always a fair amount of work in connection with integrating these businesses, and we always go into these with our eyes wide open. But certainly glad we did the deal, encouraged by the backlog they bring into 2012 and really encouraged by the quality of people that are out there in the employee population of ClydeUnion. I'm glad to have them part of SPX. And so with respect to opportunities to continue to grow that business, the flexibility that we have to do that and to grow other parts of Flow, I think, were enhanced significantly by the strategic move with respect to Service Solutions. And so we've said consistently and we firmly believe that there are great opportunities to continue to build all of these 3 platforms within Flow, and certainly, power and energy is one of them. So a lot of interesting opportunities out there, and I think we're doing all the right things to position ourselves to be able to execute on them.
Patrick J. O'Leary: And there are still opportunities for us to move forward in the food and beverage market, and that team is certainly ready for more bolt-on acquisitions. And we'll give you a detailed update quarterly as to how the ClydeUnion acquisition is progressing from a financial point of view.
Shannon O'Callaghan - Nomura Securities Co. Ltd., Research Division: And then just on the systems piece. I mean, you're winning a lot of these big contracts now. I mean, is that tracking a little better than you thought? And I guess when you're thinking about the margin mix in the Flow segment, is that going to exert more pressure? Or you think you're going to be able to sort of execute better on the margins on the systems side? Or how do I think about that?
Christopher J. Kearney: Well, we expect -- well, first of all, Shannon, with respect to the opportunities, the opportunities are certainly as good as we could reasonably have expected and then perhaps a little bit better. And I think what's really encouraging to us and I think should be encouraging to all of you is how well these acquisitions, particularly in the food and beverage side, have come together to be able to position us to do things that we could never do before. And obviously, with all of these acquisitions put together, we're now more able to provide greater content into the systems that we designed. We think that over time, we'll get good engineering leverage over replicating these designs. We try and be very careful about the opportunities in all of our businesses that we take on, and we think that it's reasonable to expect that we get more efficient and better at it over time. So we think we're off to a very, very good start. We think in terms of the long-term model that we're building in the Flow business that we're creating good medium- and longer-term aftermarket opportunities in the Flow business because of the success we're having on the systems front.
Patrick J. O'Leary: And I think the important innovations we've made in the products of food and beverage are actually giving us a competitive advantage in the market. So from a profitability point of view, if you look at Q4, actually, we were very pleased with the margin performance in Flow, given the higher mix of systems execution. Realistically, we do expect to maintain that level of systems revenue going forward. And so 23%, 25% of total with single-digit margin, it clearly has an impact on the overall results. But as time passes, we will have the aftermarket and replacement equipment at much higher margins. And I think, again, you can see from Q4 at a certain level of production, the components business is extremely, extremely profitable.
Shannon O'Callaghan - Nomura Securities Co. Ltd., Research Division: Yes. I mean, that was pretty good incremental in the quarter even though you had sort of adverse mix, given the big growth in systems, so.
Christopher J. Kearney: That's right.
Operator: The next question comes from the line of Julian Mitchell, Crédit Suisse.
Julian Mitchell - Crédit Suisse AG, Research Division: Yes, my first question was on your Thermal business. You talked about the sort of cyclical recovery under way in global power gen, but your organic backlog was down, I think, about 25% going into the end of the year. So I guess, how do you guys think about the fact that the recovery may be weighted towards other technologies, not necessarily those where your Thermal business today has its strongest presence? So and I guess if you could just give us an update sort of by region on where you're more or less optimistic about the year ahead in terms of orders in Thermal.
Christopher J. Kearney: Yes. This is Chris, Julian. We like where the business is positioned and are encouraged by the opportunities we see as a result of our investment in technology and innovation in that business. We think what we've seen over the last couple of years in the business is not reflecting on us and our position in the market specifically, but it's reflecting more on the, frankly, the advance of opportunities in the United States and Europe and markets that have been down at the bottom of the cycle, particularly in the replacement market that's been very, very quiet. We think that the opportunities continue to abound short to medium term, and we're encouraged by some of the front-log activity we're seeing going into 2012 in emerging markets around the world. We're absolutely excited about the joint venture that we've done with Shanghai Electric, and you can see, no sooner did we close that transaction then we saw opportunities start to develop already, as I indicated in my comments this morning. So we think in 2012, we could see some better retrofit opportunities in the U.S. market. We think that we're positioned around the world. And now, more particularly, as a result of the Shanghai Electric joint venture, to -- I think be much more competitive and, as I talked about consistently over the past year, change that competitive dynamic by being a partner with an important player in the developing regions of the world and be part of a front-end solution. So I think that, that distinguishes us from some of the folks that we compete with around the world, and I think they're all the right, positive things to do. So I think 2010, 2011 were tougher years given where we were in that cycle, but we like where we're positioned with the business, and we are seeing some signs that give us encouragement as we start into 2012.
Patrick J. O'Leary: And Julian, this is Patrick. I mean, specifically with respect to the backlog, what's really happening is the execution of that really large contract we took several years ago in South Africa. If you look at the order rates of, I'll call it, the core business, it's really been running at $250 million to $300 million a quarter, very stable throughout 2011 on a sequential basis, and we expect that to continue. So really, the issue is, in terms of geography, exactly as just -- as Chris just described.
Julian Mitchell - Crédit Suisse AG, Research Division: Okay. And then just a follow-up. Could you talk more broadly about, I guess, what you're seeing demand-wise and what you're doing in China? I mean, you mentioned the opportunities around the JV with Shanghai Electric. You also talked about the centralized plant, kind of the plans changed there. Can you talk a little bit about the sort of the customer activity as well outside of power and what you're doing and find out where you think you're strongest, weakest and so on?
Christopher J. Kearney: Sure. No, across the company, we continue to view that as a very important growth-driving region for the company. And if you look at Flow particularly and what's going on in China and broader Asia Pacific with respect to opportunities, we're absolutely encouraged and excited about those opportunities. So our view of developing markets and, specifically, our view of China as an important driver of growth as we move forward has not changed a bit. And if anything, I think we're better positioned as a result of the acquisitions that we've done in Flow and the Shanghai Electric joint venture that we've done in Thermal. Specifically, with respect to the China manufacturing campus, more than anything, Julian, I think that reflects, as you would expect, a narrowing of the focus of the company, with Service Solutions coming out of the portfolio and with the Thermal business in China moving into a joint venture with Shanghai Electric. Flow has got its own manufacturing campus that, at least in the short term, we can better leverage, and it serves us very well. As the company continues to grow, we'll reassess what we need to do with respect to supporting manufacturing in China. But for at least the short term, I think this make sense for us.
Patrick J. O'Leary: And the -- obviously, the organic growth has been eye-popping. I mean, we experienced 30% growth in Flow revenues in Q4. One of the big drivers of that is obviously the dairy market. There's almost an insatiable demand for powdered milk products, not just for infant formula, but also for food additives. And so we are experiencing a significant amount of demand, not just this -- as you heard on the contract announcement, not just from our historical branded food and beverage customers in Europe and the U.S. moving to Asia but also from local Asian companies that are having to respond to new government regulations and having to compete against U.S. and European well-supported branded products. So the market dynamic in Flow is really strong, and we are participating more and more in the indigenous markets. And then as Chris pointed out on Thermal, I mean, we are -- we're starting to see more optimism and more spending driven by governmental policy in the power and energy area.
Operator: The next question comes from the line of Steve Tusa, JPMorgan.
C. Stephen Tusa - JP Morgan Chase & Co, Research Division: So again, I'm just -- a little bit unclear about the Thermal dynamics. You talked about the $300 million of orders, kind of stable, and you also had a decent, I think, organic growth quarter in the evaporative cooling, which is obviously a big part of that business, so not just cooling towers. Can you maybe just talk about what you see specifically in the U.S. in cooling towers? And then what's driving, again, remind us what the drivers of that evaporative cooling businesses are and whether those are sustainable or not.
Christopher J. Kearney: Yes. Well, part of what will drive it -- we expect to drive United States is opportunities for retrofit and rebuild opportunities, which as you know, Steve, occur on one-off basis. And so we see some activity that we think will create opportunities for us in 2012 there. In the developing markets, our heat transfer business picked up a very nice order, sizable order in Kenya. And as I mentioned in my remarks this morning, the ink is barely dry on our agreement with Shanghai Electric, and we've already got an indication for a significant ACC order there. So I think that it's been -- just because of the cyclical nature of that power business, I think the last couple of years have been a challenge. And as we always do during those parts of the cycle, we reassess what we need to do to better position the business when that -- when those markets start to turn back up. We think we're in a position now that we can capture some opportunities going forward, and we're mildly encouraged by some of the front-log activity that we see beginning to affect that business in 2012.
Patrick J. O'Leary: Steve, this is Patrick. I mean, as I mentioned in the remarks, we significantly improved the margins in the evaporative cooling, and there's a couple of things going on there. One is the lean improvements that have been made at the factory in Kansas, and the other is actually starting to create a more standardized product globally. And these are broader markets, including the HVAC product. Gene Lowe has done a really nice job in that business, and it started to have a nice impact, where the margins on evaporative cooling are now approaching the margins -- the average margins of the segment, which is a big change from where we were 3 or 4 years ago. So we're still dealing with the issue of mixing away from dry cooling, but we're addressing that with the Shanghai Electric joint venture and other approaches. So with respect to overall profitability, the $14 million charge in Q4 was unfortunate. But if you put that aside, the margins were around 13% in the segment in Q4, which is very comparable to where we were in Q4 2010.
C. Stephen Tusa - JP Morgan Chase & Co, Research Division: Right. And then so -- are you seeing any signs of non-res -- a pickup in non-res HVAC with regard to the evaporative cooling business?
Patrick J. O'Leary: We're seeing decent demand across all markets for the HVAC product. I think it's more of a dynamic of our newer technology and more competitive pricing taking effect than it is a resurgence in that market.
C. Stephen Tusa - JP Morgan Chase & Co, Research Division: Okay. Then one last quick question just on Industrial. You know you have this charge, but you still missed your guidance, or yes, the cost of the new plant start-up, but you still kind of missed your guidance there. I would think that, that $4.5 million is something you should kind of should've known about. So I guess just outside of Transformers, what are the dynamics that we should be thinking about going forward, or is there something wrong in the business?
Patrick J. O'Leary: Yes. That's a very fair question, but the reality is the miss on the guidance really wasn't driven by Transformer, as you heard in the prepared remarks. It really was just a matter of project timing on a couple of contracts that are now expected to be executed in 2012, and those projects relate to the communications technology and solar crystal growers business, where you know that we get larger orders. We're pretty careful on the solar crystal growers about the creditworthiness of the customers and getting money upfront based on the ticket amount. And then the communication technology business has been taking some much larger orders, so timing is a factor. And that's really the difference between what our original expectations for Industrial were and what we actually reported.
Operator: The next question comes from the line of John Inch, Bank of America.
John G. Inch - BofA Merrill Lynch, Research Division: Technical question. So the backlog ends at $3 billion. I thought you said in January it was going to be $3.1 billion. Is it a -- is there routing error? Is it currency? Is there something else that's in that?
Christopher J. Kearney: It included Test and Measurement in January.
Ryan Taylor: John, this is Ryan. So in January, we showed the Test and Measurement as part of the total backlog. We did not show that this morning. Service Solutions had a backlog of approximately $160 million, which is the main difference between January and what you see today.
John G. Inch - BofA Merrill Lynch, Research Division: Okay. So in other words, nothing changed. Because it didn't look like the segments really had changed.
Ryan Taylor: That's correct. Nothing changed.
John G. Inch - BofA Merrill Lynch, Research Division: Okay, great. So then on ClydeUnion, I apologize if you said this, but we -- there's an $0.11 drag, right, impact in the fourth quarter. Then you think full year EPS was a drag of $0.55. How do you get -- I mean, the deal closed in December. How do you get a full year drag that's bigger than the fourth quarter? I don't understand.
Patrick J. O'Leary: Well, that complete difference relates to the currency hedges we put in at the time we entered into the contract to make sure that we didn't have an elevated purchase price. And so all of that difference is really just a movement on the hedges for sterling from the time we entered into the contract, and...
John G. Inch - BofA Merrill Lynch, Research Division: No, that make sense. By the way, ClydeUnion backlog, Chris and Patrick, you said it was $510 million. What was ClydeUnion's backlogs last quarter and a year ago? If you have those numbers.
Patrick J. O'Leary: I don't have those numbers in front of me.
John G. Inch - BofA Merrill Lynch, Research Division: Do you have a sense directionally what's been happening to the backlog? There were issues, right, with respect to the deal terms changed, kind of what was going on. Just wondering if you have any hard data now that the deal's closed that...
Patrick J. O'Leary: Well, it's up about 20% year-over-year, and it did move up as Q3 and Q4 were going on, because they were having trouble executing on the increased level of orders. But that is reflected in elevated backlog. So we have a very strong backlog going into 2012.
John G. Inch - BofA Merrill Lynch, Research Division: Okay. So no real change versus the trajectory, then, in the past few weeks or anything like that.
Patrick J. O'Leary: No, no.
Christopher J. Kearney: No.
John G. Inch - BofA Merrill Lynch, Research Division: Let me just ask you one follow-up here. You guys are doing so well in Asian food and beverage. You hear about tainted milk in China all the time. And I'm just curious. Is there a way to -- I mean, I realize things are growing very rapidly. Is there a way to penetrate that market even faster? For example, would there be prospective Asian food and beverage equipment suppliers you could purchase or other potential targets? I mean, I'm just curious. Why not -- it strikes me that this China issue, tainted milk, et cetera, is going to go on for a long time. Why not -- is there a way to kind of even capture more of that benefit?
Christopher J. Kearney: Well, I think we are capturing it at a pretty accelerated rate. And the -- a large part of that emphasis for growth is actually over concern for the issue that you just mentioned, which is driving that market to higher regulation and to high-quality providers. And those are the customers that we're providing. I think that the way we're attacking that market and the success we're having at it -- with it is exactly the right way to go. It's interesting. As you know, John, our toehold in that market was established by following our large global western customers into that market. And now, the customer base is growing to a more indigenous customer base that is driven by the same need for high quality and high regulation. So the market is expanding pretty significantly, and I think we're participating in it in, frankly, a very effective way.
Patrick J. O'Leary: So the organic growth opportunities are so large that, really, executing on those makes more sense. Where acquisitions do make sense for us is actually acquiring technology, and that's likely to continue to be in European-based food and beverage companies. And so our approach to the market and the organic profile I think will work out very well, and obviously, we're experiencing organic growth well above what the market data is showing. And that's really a function of the technologies that we've put together. So I really don't think that acquisitions of Chinese food and beverage companies make sense -- potentially for some components, interconnect products, stainless steel. But for the broad technologies, I think you're going to continue to see our acquisition activity focused around elevating technology and not focused around trying to acquire more scale.
John G. Inch - BofA Merrill Lynch, Research Division: So in other words, there's nothing about your footprint that perhaps is excluding you from participating in the China market because of -- you don't have...
Patrick J. O'Leary: No. I mean, we have a ways to go on localization. So I don't want to give the impression that our Chinese capability is elevated to where it needs to be. I can probably see Dave Wilson rolling his eyes right now. Because obviously, executing 30% organic growth and a huge, increasing backlog and more of more of the scale orders in the $20 million to $40 million is no mean task. And so I think from the point of view of what we can do now, it's really execute well on the orders that we're taking. The rate at which we're getting food and beverage orders is going to put our engineering and execution capability under stress. But looking at how the team performed in Q4, where -- which we're very pleased that this level of organic growth, well into the double-digits that we are -- that we're holding the margins, notwithstanding mixing up towards systems. There is kind of come a point that we've got to look at being careful about how much operational stress we're putting on the resources that we have.
John G. Inch - BofA Merrill Lynch, Research Division: Yes, so maybe build a plant or 2.
Operator: The next question comes from the line of Jeff Beach, Stifel, Nicolaus.
Jeffrey L. Beach - Stifel, Nicolaus & Co., Inc., Research Division: Yes, Mark. Power Transformers. You indicated in your slides that you're seeing 30% growth. I assume that that's all medium-voltage transformers?
Patrick J. O'Leary: Yes, it is.
Christopher J. Kearney: It primarily is.
Jeffrey L. Beach - Stifel, Nicolaus & Co., Inc., Research Division: Looking at the order pace, that's pretty strong growth. Is the order pace faster than what you're seeing in the 30% revenue growth in the medium voltage?
Patrick J. O'Leary: Well, what's actually happening with the order rate is that for the last couple of quarters, we've been stepping back from the market somewhat and been very selective in terms of the contracts that we're taking on, because we have an expectation that pricing is going to continue to improve. And so we've been very cautious about participating in the open market, and we have been pricing somewhat above where we have seen the open market taking place. So what I would say is we could have taken more orders in Q3 and Q4 had we been willing to capitulate on price. So the lead time hasn't really changed in the last couple of quarters. It's still about 8 to 12 months, and so there's a fair lag between reporting the revenue and when we take the orders. So what I would say is that the order rate continues to be robust. The sentiment that we're seeing from the customers that are primarily public and privately held utilities is somewhat more optimistic in terms of the amount of spending they're going to do. And we clearly going into this year see demand improving somewhat from where we saw it at -- as the second half of last year went on, and pricing continues to modestly improve.
Jeffrey L. Beach - Stifel, Nicolaus & Co., Inc., Research Division: Okay. When I look and hear from my other companies, it sounds like the spending on distribution is increasing at about a 5% pace. Is this strong growth where you're actually being more selective really starting to reflect the replacement cycle that's occurring?
Christopher J. Kearney: Yes. I mean, we think that this does reflect the beginning of the move forward into replacement cycle. And we've seen, as you know, Jeff, consistent and steady growth in the backlog over the past year. And so as that cycle moves in recovery, it's consistent with how we've seen it move in the past.
Jeffrey L. Beach - Stifel, Nicolaus & Co., Inc., Research Division: All right. Just one other question. With the extremely strong growth in your food and beverage in the Flow, can you talk about the growth rates that you're seeing in some of the other major market segments?
Christopher J. Kearney: You're speaking of...
Jeffrey L. Beach - Stifel, Nicolaus & Co., Inc., Research Division: In Flow technology.
Christopher J. Kearney: In Flow?
Jeffrey L. Beach - Stifel, Nicolaus & Co., Inc., Research Division: Yes.
Patrick J. O'Leary: We've -- I mean, we've pretty much seen double-digit growth across all of the -- all of the markets, and I gave the regional breakout in the -- in aggregate. But in terms of what we experienced in Q4, it was really good growth across Industrial. We found a resurgence in the heat exchanger demand. The dehydration products continue to sell well. They're exposed to a very broad range of industrial end markets, and we look at that as a surrogate for the overall global economy. And so I would say there's no part of Flow right now that I would consider to be a weak market or a market indicating that it is going to change down. And interestingly, the U.S. market, and continuing into January, remains really strong. And obviously, we're executing some of the higher-margin component products in that market.
Ryan Taylor: Thanks, Jeff. This is Ryan Taylor. We're out of time unfortunately, so we're going to have to end the call here at this point in time. As usual, I'll be around all day for anybody that's got further questions or follow-ups. Thanks for your time, and we'll talk to you soon.
Operator: Thank you, again, ladies and gentlemen. This concludes the conference. You may now disconnect, and have a great day.